Operator: Good morning. My name is Chris, and I'll be your conference operator today. [Operator Instructions] At this time, I'd like to welcome everyone to the Shoe Carnival 2021 Fourth Quarter Earnings Call. [Operator Instructions]
 Thank you, Mark Worden, President and Chief Executive Officer. You may begin. 
Mark Worden: Good morning, and welcome to Shoe Carnival's Fourth Quarter Earnings Conference Call. Joining me on today's call are Carl Scibetta, Chief Merchandising Officer; and Kerry Jackson, Chief Financial and Administrative Officer. 
 I'd like to start by recognizing our team of nearly 6,000 members for their commitment, perseverance and their winning spirit demonstrated throughout 2021, and to our millions of loyal customers and new customers across the hundreds of communities we serve, we are thankful you selected Shoe Carnival for your family's footwear shopping experiences. I have the pleasure of opening today's call by reporting that Shoe Carnival generated more profit for our shareholders during 2021 than the prior 6 years combined. 
 Furthermore, growth momentum remained very strong at Shoe Carnival. No doubt, 2021 presented a challenging macro environment. COVID-19 and supply chain disruptions required our exceptional merchandising team and operators to navigate ongoing complications. Inflation and a tight job market made it clear how essential our team members are and how important our commitment to invest in competitive wages, compelling benefits and long-term career growth is. One element was constant for Shoe Carnival every quarter in 2021. Our customers shopped in person at record levels. And when they did, the merchandise assortment delivered on their family footwear needs. 
 Sales grew 36% for fiscal 2021 with every quarter growing double digit versus 2020. We were most encouraged with the sustained market share growth achieved as every quarter grew over 20% versus 2019, which we view as a more normal sales profile without the pandemic disruption in 2020. Millions of new customers experienced Shoe Carnival for the first time during 2020 after reopening our stores following the pandemic shutdown. 
 Our team's 2021 focus was to leverage our advanced CRM and digital marketing capabilities to convert these new customers. The plans worked exceptionally well. For example, Q4 marked the seventh consecutive quarter of comp store growth and the sixth consecutive quarter of record earnings per share delivered. Growth was driven by double-digit store customer traffic increases and the acquisition of over 3 million new loyal customers versus the prior year. 
 Total Q4 sales grew 23% with exceptionally strong holiday sales generated from the hottest athletic and nonathletic brands and styles for the family in stock. Despite the Omicron variant surging in Q4, our customers shopped in person during the holidays at the highest levels in our history. In this, our gross margins for the entire Q4 at 37.4%, up 650 basis points compared to Q4 last year. Carl and Kerry will discuss the margin results and sustainability of it shortly. Sales momentum has continued into fiscal 2022. We expect to deliver another sales record in fiscal 2022 with sales growth of 4% to 7% on top of the 36% growth achieved in the prior year. We aim to surpass $1.4 billion this year, which will result in Shoe Carnival sales, 43% larger on a 2-year stack. 
 For the first 6 weeks of fiscal 2022, net sales continued to grow, driven by strength of customer traffic gains. The second half of Q1 and Q2 go up against large government stimulus funds in the prior year, which we are not anticipating being funded again this year. As such, we anticipate the first half of 2022 to generate net sales between flat and low single-digit increase. Once we lapse the major stimulus funding, we forecast mid- to high single-digit growth for the remainder of 2022. 
 I'd like to turn now to our strategic plan to transform shareholders' profit. In 2019, we set a long-term objective to increase our operating margins from the historical 4% to 5% range which was lagging the competitive set to a long-term ambition to exceed 10%. To accomplish this objective, we invested in consumer technology, analytics, and hiring top talent so we could build out advanced customer relationship management and digital marketing capabilities. These investments resulted in profit generation faster and higher than we expected. 
 For the full fiscal year, operating margin and EPS more than doubled versus our historical averages. For the fourth quarter, despite the supply chain cost headwinds and the average hourly wage inflation, earnings per share grew 177% versus the prior year and 500% on a 2-year stack. For the full year, earnings per share grew 271% versus the prior record achieved during 2019, resulting in a return on beginning equity of 49.9%. 
 Looking forward, we see our business model generating high levels of cash flow and gross margins. We do not see the 49% return achieved in 2021 being the norm. However, we have plans in place to now sustain double-digit operating margins and earnings per share more than 250% higher than the prepandemic levels. 
 Turning to store productivity and growth. The full fleet is healthy with all comp stores cash flow positive and the chain generated sales over $300 per square foot. With these results achieved, we have now completed our multiyear store productivity improvement plans and forecast limited, if any, store closings for the next several years. 
 Our store modernization plans continue to generate accelerated sales and positive customer feedback. Our athletic shop-in-shops with the brands our customers love and seek out is playing out as a compelling traffic driver and a competitive differentiator. With net sales and gross margins overperforming expectations, we are again accelerating capital investments for this program. 
 We now aim to complete modernization program across the fleet by the end of fiscal 2024. As we concluded fiscal 2021, approximately 20% of the fleet remodels were complete. We have over 100 more in flight and plan to have approximately 50% of the fleet complete at the end of this year. 
 Our first acquisition close successfully on December 3, 2021, acquiring the assets of the leading Southeast retailer, Shoe Station. Our original plan was to complete the back-office integration by late 2022 and then begin rapid store growth in the 2023, 2024 horizon. I'm very pleased to share today that the teams did an amazing job and the back-office integration is complete 6 months ahead of our expectations. With this rapid smooth start, we have shifted resources to store growth mode and building advanced CRM capabilities for the new banner. We are seeing encouraging opportunities to grow our new banner with complementary consumer demographics and real estate locations to the Shoe Carnival banner. The real estate and analyst teams are deep into our CRM data and finding many promising markets to expand into. 
 With both banner stores productive and generating strong cash flow, we are moving into store growth mode. For 2022, we aim to add over 10 stores to the fleet then accelerate to over 20 stores annually beginning in 2023 through a combination of organic growth and opportunistic acquisitions where a strong regional or local player exists. 
 Turning to shareholder value. We forecast earnings per share to be in the range of $3.80 to $4.10 for fiscal 2022 compared to $1.46 in fiscal 2019. This will generate a return on beginning equity between 24% and 26%. Additionally, with our strong cash flow and balance sheet, we're raising our dividend by nearly 30% after raising it 50% last year. Kerry will discuss this shortly. 
 In closing, Shoe Carnival growth momentum is strong. Despite the challenging macroeconomic environment, 2022 will be yet another record growth year, thanks to our exceptional team and rapidly expanding loyal customer base. 
 I would now like to turn over the call to Carl. 
Carl Scibetta: Thanks very much, Mark. As Mark said, we are delighted to report our strongest ever fourth quarter as well as our best fiscal year ever. I will highlight several areas that were key to delivering our outstanding performance. The first is we are winning with loyalty and brand building. Through our ongoing investment in CRM, we understand our customers better than ever. This enables us to continue to execute our promotional strategy using data intelligence to drive customers into our stores and online. 
 These targeted personalized promotions have been a key component of our innovative marketing plan. It has served us well since we implemented it over a year ago. 
 Our best-in-class CRM is driving record sales and gross margins. And as we saw in the fourth quarter, it consistently drove higher customer acquisition, retention and reactivation all at the same time. With the use of the valuable consumer insights our CRM provides, we can leverage deeper engagement across both online and in-store channels. The stellar results we announced today are the strongest evidence to date our strategy is working. Secondly, is our unparalleled vendor relations. Our merchandise story is above all one of overcoming supply chain challenges through working with our vendors daily to minimize the disruptions being caused by the global supply chain issues. 
 In this challenging environment, our vendors are highly selective with their inventory allocations, and many do not have the capacity to supply demand from retailers in the mall, department stores and discount stores. Customers want brands and they will go to retailers where they can reliably find those brands. Given our firmly embedded relationships with our vendor partners, we continue to stay stocked with a variety of depth, breadth of the hottest in-demand products. 
 As a result, we are uniquely positioned to capture customers dislocated from other sources, which are no longer able to cater consistently to customers' needs. We saw the power of those relationships throughout every quarter in fiscal 2021. The outstanding results became we had the right products at the right time. As a result, we enjoyed an exceptional holiday season. 
 During the final weeks of 2021, we generated record sales and 6x earnings per share compared to the fourth quarter of 2019. That said, our industry faces potential challenges this spring. Consumer spending will be impacted as the stimulus programs of 2021 are no longer and the supply chain and inflation issues continue. We aren't immune from these challenges, but thankfully, we are well positioned to continue to increase our market share due to our strong management and vendor relations. Our inventory levels are up versus last year, and our stores are ready for spring selling and we are winning with strong merchandise categories and assortments. As Mark mentioned, customers shopped in person for their holiday needs. 
 Drilling down to consumer trends, we are seeing customers back to buy nonathletic shoes. Across customer groups, nonathletic sales grew by over 20% in the fourth quarter, while athletics continue to grow by low teen percentage points. Currently, we have a 50-50 nonathletic, athletic merchandise portfolio, which has us well positioned for growth and mitigates risks related to changes in consumer demand. We feel this balance gives us an advantage over competition. 
 Q4 continued the path of business normalization that we sought in preceding quarters as our brick-and-mortar customers responded very positively to merchandise and storage strategies. Comp sales in the fourth quarter versus 2020 were up 17.7% and up 25.3% versus 2019. 
 We are also delighted with our e-commerce business. In 2021, e-commerce sales grew 146% to over $160 million compared to fiscal 2019. While we don't see the explosive growth in a post-pandemic environment, we do expect our thriving e-commerce channel to play a significant role with our customers as they balance their new hybrid work-life lives. Our e-commerce margins as a result of these evolving customer trends were 880 basis points higher compared to Q4 2020. 
 Improving the last mile delivery is a key aspect of e-commerce. During the fourth quarter, we became the first in the family footwear channel to launch same-day delivery in partnership with DoorDash in late December. We are proud of our team's ability to launch this innovative offering to benefit our many busy last minute holiday shoppers. Going forward, we expect e-commerce to be a high single-digit, low double-digit long-term growth area. We will continue to be an omni-channel growth story as we provide a highly complementary rich-in-clicks offering that provides our customers with winning merchandise and high-quality service they have come to expect from us. 
 As Mark mentioned, we continue an aggressive rollout for our store modernization program. We want our customers to feel the joying fulfillment of in-person shopping in our stores. Our efforts are moving fast. We will complete modernization of over 100 stores in 2022, and half the fleet will be completed by year-end. Our stores have an open, modern clean look that facilitates a pleasant browsing experience. Our digital displays and brand shops connect customers to the trends and the promotions they seek. Our athletic shops continue to roll out. Our assortment of brands and our strategic vendor partnerships with the top global athletic brands are strong. These environments are motivating and more customers stepped through the door and browse. 
 As we continue to invest in new store designs, our Shoe Station prototype flagship store is well underway and will open later this year. Our integration of Shoe Station is ahead of schedule. We have worked with our vendor partners from the Shoe Station business, and we are mutually excited about the future growth opportunities ahead. Our Southern-based Shoe Station buying team is engaged and ready to go. We expect modernization of all existing 21 stores to be completed along with our company-wide modernization strategy. Above all, our people are friendly knowledgeable and always put the customer first. In fact, customer first is a core value and key differentiator in the category. 
 Now turning to results. All merchandise categories, comparable store sales for the quarter were up double digits versus 2020, and margins were up 710 basis points for the same period and 1,030 basis points versus 2019. Even though inflation could have some effect on margin levels in 2022, we feel the changes in our promotional strategies and the power of our CRM program has fundamentally changed the merchandise margin levels for the company going forward. Kids comparable store sales in the fourth quarter were up in the low 20s. Both athletic and nonathletic kids sales were up over 20%. 
 Men's nonathletic comparable store sales were up in the high 20s. Sales were driven by both the dress and casual shoe categories. Women's nonathletic comparable store sales were up in the low 20s. Sales were driven by dress, casual and sports shoes. Adult athletics were up in the low double digits. As mentioned earlier on our previous calls, nonathletic shoes across men's, women's and children's had made a huge comeback. Our team of season merchants continue to navigate through supply change challenges with the same anticipatory approach to sales and inventory as they have throughout the pandemic. 
 Through their hard work and excellent vendor partnerships, the team was able to deliver the products customers wanted to generate these outstanding results. Despite industry-wide near-term headwinds, we feel we are well positioned to succeed in fiscal 2022 with a strong inventory position. Fiscal 2022 beginning inventories per door were up in the high teens versus 2021 in mid-single digits versus 2020. 
 With that, now let me turn the call over to Kerry Jackson to provide more insight into our financial performance for the quarter and full year. 
W. Jackson: Thank you, Carl. It's exciting to share with you some financial highlights from the best fourth quarter and the best fiscal year in the company's history. We achieved a record fourth quarter with net sales of $313.4 million, an increase of $59.5 million or 23.4% compared to the fourth quarter of fiscal 2020. Comparable store sales increased 17.7% for the fourth quarter of fiscal 2021 compared to the prior year. Our brick-and-mortar comparable store sales were up 22.1% and e-commerce was mostly flat in the fourth quarter compared to the fourth quarter of 2020. 
 Fourth quarter 2021 gross profit margin was 37.3%, a Q4 record high for Shoe Carnival and up more than 650 basis points compared to the fourth quarter of 2020, driven primarily by continued strength in our merchandise margins in the quarter. Excluding onetime acquisition costs, our Q4 gross profit margin was 37.6%. Buying, distribution and occupancy expenses decreased 140 basis points as a percentage of sales when compared to the fourth quarter of 2020 despite higher supply chain expense. These results clearly underscore the successful execution of our merchandising strategy highlighted by Mark and Carl earlier in the call. 
 SG&A expenses increased by $21.3 million in the fourth quarter of fiscal 2021 to $88.9 million. As a percentage of net sales, these expenses increased to 28.4% compared to 26.6% in the fourth quarter fiscal 2020. Excluding onetime acquisition costs, SG&A expenses in Q4 were $85.7 million or 27.3% of net sales. The increase in adjusted SG&A was driven primarily by increased investments in advertising and store level wages. Operating income was $27.9 million or 8.9% of fourth quarter 2021 sales. In comparison, operating income was $10.6 million or 4.2% of sales in the prior year quarter. 
 Adjusted operating income in Q4 was $32.2 million or 10.3% of net sales. Net income in the fourth quarter of 2021 was an all-time fourth quarter record of $20.6 million compared to net income of $7.4 million during the same period last year. Earnings per diluted share for the fourth quarter of 2021 increased by $0.46 to a record $0.72 per diluted share. 
 Adjusted net income in Q4 was $23.8 million or $0.83 in diluted earnings per share. We closed out the quarter with inventory of $285.2 million, which was up $51.9 million compared to the prior year or 19.2% on a per store basis. A little over half of the increase in inventory was due to the 21 stores acquired in the Shoe Station acquisition. We have ample liquidity to fund our growth through store expansion and modernization, target further acquisitions while continuing to build cash on our balance sheet. 
 As of January 29, 2022, we had total cash, cash equivalents and marketable securities of $132.4 million and no outstanding debt. We have more cash on hand than last year even after paying for the Shoe Station acquisition in cash. As we invest for future growth, we continue to follow through our commitment to shareholder return. 
 In addition to our share repurchase authorization, our Board of Directors approved the payment of a 29% increase in our quarterly cash dividend to $0.09 per share from $0.07 per share previously. 
 Turning to our longer-term outlook. As we continue to see momentum in our business as we come into March and based on our expectation of continued strength, we expect fiscal 2022 net sales to increase mid-single digits to (sic) [from] $1.38 billion to $1.42 billion and earnings per diluted share for the fiscal year to be in the range of $3.80 to $4.10. 
 In closing, this morning, we announced the best results in our 43-year history. Looking ahead, with continued strength and success of our fast-growing omni-channel sales model, our transform profitability profile, all supported by robust cash flow we are better positioned financially than ever before to execute on our growth strategy, which combines organic store expansion and modernization on one hand and selective acquisition strategy on the other. 
 With that, I'll conclude our financial review. Now I'd like to open up the call for questions. 
Operator: [Operator Instructions] Our first question is from Mitch Kummetz with Seaport. 
Mitchel Kummetz: Congratulations on the quarter and the year. I've got a few questions. You guys have referred to momentum through the first 6 weeks of Q1. I was hoping you might be able to quantify that. And I'd be most interested in knowing how that performance compares to the first 6 weeks of 2019, if you happen to have that? 
Mark Worden: This is Mark. Thank you for the congratulations. We're thrilled with the way last year concluded, and that momentum has carried into the first 6 weeks of fiscal 2022. We have great confidence based on the start that we can continue to grow and have a record 2022 this year, as we said, growing 4% to 7% revenue range. 
 Specific to the first 6 weeks, we are seeing continued strength in store traffic and people coming out despite all of the macroeconomic things going on, and we're very comfortable that before we started lapsing the stimulus, we were seeing high single-digit type growth, Mitch, compared to the prior year. 
Mitchel Kummetz: Okay. That's helpful. And then, Mark, you kind of broke out the year, first half, second half in terms of the year-over-year. Sort of quick back-of-the-envelope math that I've done. Again, when I'm trying to compare this to 2019, which is the last pre-COVID year, that kind of implies high 20s growth in the first half, high 30s growth in the second half versus 2019. 
 I can appreciate the lapping a stimulus on a year-over-year basis. But I'm kind of curious why more growth in the back half versus the first half when you compare it to that pre-COVID? Is that mainly kind of inflation and supply chain that's holding back the sales growth over the first half that you would expect to kind of be alleviated in the back half or is there something else going on? 
Mark Worden: Yes, you're right. Regarding versus prior year, it is purely the stimulus that's going to be a challenging headwind for retail for the next month or 2, and then we get into rapid growth once we start lapsing that. If you look 2 years back, no doubt the supply chain and inflation are challenging headwinds that everyone is facing at this moment in time, and we expect that to continue to be challenging for us to navigate. 
 Our merchants, as we talked about last year, navigated it with astonishing nimbleness, and were able to secure the inventory we needed, had our stores well stocked when customers were there. And we have confidence we're going to do that again this year. 
 However, compared to 2019, we're not immune to, there are delays in shipping. There are delays throughout the supply chain and inflation is causing consumer sentiment to be different than the 2019. With all that said, we have great confidence we get beyond that in the coming weeks as we head towards back-to-school. We're positioned very well to accelerate growth. 
Mitchel Kummetz: And then, Mark, you mentioned double-digit operating margin as kind of a new sustainable level for the company. That's up, I think, over 500 bps from where you were pre-COVID. Can you just talk about the structural changes that you've seen in the business that gets you to this new level? I mean I would imagine a pretty good piece of that is going to be the CRM and your ability to be more kind of targeted and strategic with your promotions. 
 And if there's anything else that you might want to refer to, to help explain that lift in margins, whether that's market share gains that you've taken that helps with the fixed cost leverage. I mean, can you maybe kind of go through some of those components? 
Mark Worden: Sure. I'll highlight 3 of them that are key drivers. First is our investment to build advanced analytics and CRM capabilities, like you touched on. We're at this stage of gaining leverage from those systems we've been investing in for multiyears and gaining true fruit of it. We can target consumers effectively. We can promote far more profitably and still generate the top line we want. That's going to be a key contributor. 
 Second, that capability and our merchants excellence has enabled us to eliminate the historical buy 1, get 1 half off and other deeply unprofitable promotions we used to do. Between those 2 key elements, we can sustain margins significantly higher, and Carl and Kerry can build on that. 
 Third, the job environment is tighter than I've seen in my nearly 30 years. And we have made a conscious decision to invest in our employees, invest in compelling pay for them, invest in benefits and invest in career opportunities. And so I'm thrilled today to share that effective this year, all full-time employees at Shoe Carnival will be earning at minimum $15 per hour. And this is allowing us to invest in having the best talent we need in our stores, that customer-first mindset. 
 So 2 major tailwinds from more analytics are helping increase our gross margin and then an investment in our people helps us win but also puts pressure on SG&A pulling down have some of the high results and that 49-plus percent return on equity we delivered this past year. 
Operator: Our next question is from Sam Poser with Williams Trading. 
Samuel Poser: Kerry, I was just wondering if you could just give us some details or Carl, on the sales -- on the sales increases by month or the same-store sales increases by month in the fourth quarter, given how there was some stimulus lapping in January? 
Mark Worden: Sam, it's Mark again. I can share that with you. Q4 was exceptional, delivering over 23% growth overall and over 17% comp. It was driven by holidays. We've never seen stronger holiday traffic. Consumers were flocking in person back to our bricks. And we saw over 20% comp growth for both the month of November and the month of December. 
 Turning to January. That was the unknown when we spoke to everyone last that what would be the impact of not having the stimulus funds, which were in our consumers' hands the prior year. We had expected to have an over-20% sales decline in January and we're thrilled we far outperformed that. In fact, for the month of January, we had a mid-single-digit decline, again, beating our expectations by over 10%. 
 It was a great learning for us too, Sam, to show us, we grew so many new customers and were able to talk to them with CRM that we've been able to grow market share during this past January, offsetting some of the stimulus money that was there last. 
Samuel Poser: And then on number retailers within your markets are losing access to one of your large -- your largest vendor and others have closed. How -- but I've also heard that some of that may -- some of that product flow because goods are late isn't happening as quickly as anticipated. How do you foresee that helping or I won't say helping, impacting your business this year? 
Mark Worden: We talk about our store modernization plans exciting us and accelerating our plan to have the whole fleet accomplished. One of the things that consumers are gravitating to is our athletic shop-in-shops. And so this year, we have in flight another 100 -- 100-plus to be rolled out with the best brand that those consumers are shopping for across channels, and they're delighted when they can find them in our athletic shop-in-shops. 
 The brand experience, the full price realization, the way that brands love seeing them come to life with a Shoe Carnival, we believe better than anyone in the channel. And so we're moving full steam ahead and plan to have the entire fleet have athletic shop-in shops by the end of fiscal 2024. Carl could build on our vendor base to how excited we are about that. 
Carl Scibetta: Sure. Sam, while we don't talk about individual vendors on the call, what I'll tell you is the top 5 athletic brands from 2021 produced 37% of the company's business. And in 2022, those same top 5 athletic brands are projected to equal the same 37% of the company's business. 
Samuel Poser: And does that include the Shoe Station acquisition? 
Carl Scibetta: That includes -- those particular numbers are the Shoe Carnival. The Shoe Station acquisition carries -- stores carry a different merchandise mix with access to some of the other more premium running brands. And we don't see a change in the way they have historically been assorted. 
Samuel Poser: And then your store opening plans to open 10-plus stores this year and 20-plus stores next year, can you give us details as to what the composition of that is between Shoe Station and Shoe Carnival? And prior to that, I know you don't plan to close -- I believe you said you're not going to close in new stores or don't plan to close any stores this year? 
Mark Worden: Yes, that's correct, Sam. So for 2022, we plan to add at least 10 stores, the lion's share of those will be Shoe Station. We will be adding Shoe Carnival, but the vast majority of this year will be Shoe Station as the real estate opportunities we see there are so exciting. The analytics we're just diving into or pointing into how we can explosively multiply that fleet number over the next few years. As we get into 2023 and 2024, we're pursuing growth at both banners. It's our aspiration to have double-digit net store count growth for both banners. 
 We do see more opportunity for Shoe Station based on the mere size. It's a small footprint, and we have so many states we can bring this great new brand to. By 2024, it's our ambition to be 25-plus additions a year and we're incredibly energized. The only thing keeping us at those low levels is for a -- we're starting from scratch right now to get real estate. If more real estate becomes available, those numbers will go up as quickly. 
Samuel Poser: And then lastly, when you acquired just Shoe Station, you said that you anticipate around $100 million in revenue in 2022 for Shoe Station, but I don't imagine that, that included opening as many stores as you're now opening. 
 So is that $100 million still the number or has that number gone up? And then when we think about over the next 2 years, I mean, you're going to add (sic) [have] more than 50% store growth -- almost 100% store growth by the end of next year probably. So how should we think about that Shoe Station revenue? 
Mark Worden: Now that we're 3.5 months deeper into it, we have even more conviction with what we've acquired, this brand, the growth, the profitability we're so energized. You should think about this year as we will deliver what we said, the $100 million built in some thought of store growth and with where we are in the year, Sam, when we talk about those 10, most of those will be Q4 or towards the very tail end. So it will have limited impact on this year's sales and profits. But as we go into next year, that's where we can start to really ratchet it up. 
 And you're right, you should think about what the numbers I've just said will more than double, potentially triple the store footprint for that banner within 2 to 3 years, and we will commensurately more than double the revenues of that banner in that same time. So... 
Samuel Poser: And then last -- sorry, lastly, again, the sales -- the margin structure once you -- especially once you get the TRM all set up from a merchandise mix is theoretically better at Shoe Station than it is at Shoe Carnival because of there's less mix of a lower-margin athletic business. Is that a fair way to think about it as well? 
Mark Worden: It's fair to think about it? We see the margin and profitability structure lining up with the Shoe Carnival banner numbers that we've just guided to. We see them very similar. There's absolutely potential as we identify more synergies and get more into the buying and merchandising functions in the year ahead, there's actually more potential for that trend to drive higher operating margins and higher margins. But at minimum, we see it lining up with this new reset profit level for Shoe Carnival. 
Operator: [Operator Instructions] The next question is from Jim Chartier with Monness, Crespi, Hardt. 
James Chartier: I just wanted to follow up on some of the previous questions. Do you expect share gains related to Nike's exit from other retailers? And then the expectation for the penetration of your top 5 athletic brands being similar to last year. Is that due to stronger growth in nonathletic business this year? 
Carl Scibetta: Jim, it's Carl. We do see growth in both athletic and nonathletic for 2022. However, we do see growth at a higher rate in nonathletic than in athletic based on consumer trends, based on recent history and new fashion that has emerged in the non-athletic side of the business. 
James Chartier: Okay. And then just, Kerry, what's the timing of the new store openings this year? How should we plan for that? And do you expect to close any stores? 
W. Jackson: No. As Mark said in his prepared remarks that we're done with our store closing program to improve the store profitability, with all stores on an ongoing basis, cash flow positive that we're very pleased and I think it was a quite successful. And on looking out this year, we're not anticipating closing the stores and including in '23 right now, we don't have any visibility on closing of stores. 
 On the openings this year, we expect -- we just opened one for Shoe Station. So we'll have one in Q1. And then the rest of them is going to be in -- might have a store or 2 in Q3, but really it's going to be the Q4 where the store is going to open. 
James Chartier: Okay. And then finally, in terms of the vendor mix between Shoe Carnival and Shoe Station, you mentioned some differences there. What are the opportunities to add some of the stronger Shoe Carnival brands to Shoe Station and vice versa? And then when would that opportunity play out? 
Mark Worden: Sure. Sure. Jim, we do see some synergies between the 2 businesses, and we plan to use the power of Shoe Carnival to help leverage and aid some of the purchasing for Shoe Station where appropriate. But as we have seen -- as we anticipated in this business, and it certainly has come to fruition for the short time we've operated them, they have a slight -- they have a different consumer. And their consumer is really more, I would say, targeted at what a department store consumer should be or department store consumer is based on the type of products they sell, based on the categories that drive their business. So while we see some synergies between the 2 and us being able to leverage the strength of Shoe Carnival purchasing power, there are some distinct differences between the 2 businesses. Not to say that to that with vendor support, we might try a few things, but the assortments have distinct differences targeted at a distinct customer and would continue that. 
Operator: Our next question is from Mitch Kummetz with Seaport. 
Mitchel Kummetz: I just have a couple of quick follow-ups. Mark, on the remodels, I know it's -- you're early in the process, but could you maybe speak to the lift that you're seeing as you remodel those stores, whether it's productivity or margin or whatever metrics you can speak of? 
Mark Worden: We're seeing strong consumer feedback. Conversion is exceeding our expectations and comps are very strong. To be honest, it's hard to unpack within the strong growth we had to the 23% in the fourth quarter, the different elements. But anecdotally, it's driving all of those core metrics the right way. And most importantly, the profitability and contribution per square foot are ahead of our expectations. 
Mitchel Kummetz: Okay. Great. And then, Carl, you've spoken to the strength of nonathletic. Could you remind us kind of when that really started to kick in and how you think about the first half of this year, particularly around sandals? I don't recall how strong that business was for you last year. I know that can revolve around a lot of occasions, whether it's sort of Easter, Mother's Day, graduation, things like that. I'm kind of curious if you feel like there's an opportunity there versus last year even? 
Carl Scibetta: Sure, Mitch. We saw a change to more special occasion, dress up, go out kind of footwear starting mid-April last year. Fortunately, we were very well positioned with inventory, and we're able to take advantage of that for the majority of the second quarter. Now that inventory got depleted, and we have been aggressively chasing that. So I do see that opportunity first quarter this year being very strong. Second quarter as more social occasions, graduations, weddings, those things are happening, continuing through. And I see great opportunity in the second half of the year as we will be in a much better inventory position. 
Operator: Our next question is from Sam Poser with Williams Trading. 
Samuel Poser: Two things. One, where do you expect the store -- the Shoe Station stores, are you -- when you're looking at markets, are you looking at backfilling? Are you looking at new markets? Can you give us some color there? 
Mark Worden: Yes. We aim to grow rapidly in the Southeast market. We're starting first with the strategic strongholds that Shoe Station has in that Alabama and Mississippi, Georgia, Florida, Louisiana region. And the lion's share of our near-term growth will be bringing the brand to the consumers who already know and love them, but don't have access to them. From there, once we fill that in, we have the ability to expanding further. But the Southeast market remains the focus of these growth numbers we've talked about in the near term. 
Samuel Poser: And then, Carl, I just want to make sure that you define athletic a little differently than some other retailers do. So can you provide a little color as to what does and does not work into your athletic businesses because there are certain brands and so on that I know other people categorize athletic and you do not? 
Carl Scibetta: I'll say this. No matter where we categorize it, the numbers I quoted you were the total brand, not necessarily what category we put that particular brand in. And we define athletic footwear as brands you could do a sport in, not a brand that is purely a fashion in and out. 
Samuel Poser: So -- right. So for instance, the Nikes, the ASICS, the adidas, the Brooks, those are all athletic? 
Carl Scibetta: Correct. 
Samuel Poser: And the Skechers is not, Vans and Converse are, is that the right way to think about it? I mean Skechers in general, they do have some running shoes. 
Carl Scibetta: In general, yes. 
Samuel Poser: Okay. I just want -- because other people do categorize a lot of Skechers shoes in their athletic and you put it outside of it as well as other brands -- other... 
Carl Scibetta: Sam, I would say... 
Samuel Poser: The influence brand. 
Carl Scibetta: I would say with that brand, that brand covers every bit in every category we have as a company from accessories to sandals, to athletic to men's, women. That brand is scattered throughout the entire building. And when I look at that brand, I only look at the piece of athletic that fits into athletic. 
Operator: We have no further questions. At this time, I'll turn the call back to the presenters for any closing remarks. 
Mark Worden: Thank you all for joining Shoe Carnival today. Growth momentum is incredibly strong, and we are excited to put up another record year as we head forward throughout the quarter. Thank you all. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating, and you may now disconnect.